Operator: Welcome to the Lee Enterprises 2024 Fourth Quarter Webcast and Conference Call. This call is being recorded and will be available for replay at investors.lee.net. At the close of the planned remarks, there will be an opportunity for questions. Participants accessing this call by webcast may submit written questions through the website, and they will be answered during the call as time permits. Otherwise, you will receive a response later. A link to the live webcast can be found at investors.lee.net. Now, I will turn the call over to your host, Jared Marks, Vice President of Finance.
Jared Marks: Good morning, and thank you for joining us. In addition to myself, speaking on this morning's call are Kevin Mowbray, President and Chief Executive Officer; Tim Millage, Vice President, Chief Financial Officer, and Treasurer; and Les Alder Linde, Chief Transformation and Commercial Officer. Nathan Becky, Senior Vice President of Operations and Audience Strategy, is also available to answer questions. Earlier today, we issued a news release with preliminary results for our fourth fiscal quarter of 2024.
Kevin Mowbray: It is available at lee.net as well as major financial websites. Please also refer to our earnings presentations found at investors.lee.net, which includes supplemental information. As a reminder, this morning's discussion will include forward-looking statements based on our current expectations. These statements are subject to certain risks, trends, and uncertainties that could cause actual results to differ materially. Such factors are described in this morning's news release and in our SEC filings. During the call, we will refer to certain non-GAAP financial measures. Reconciliations to the relevant GAAP measures are included in the tables accompanying the release. And now to open the discussion is our President and Chief Executive Officer, Kevin Mowbray.
Kevin Mowbray: Thank you, Jared. Good morning, everyone, and thank you for joining our call this morning. In 2024, we continue to lay a strong foundation for Lee's future as a digital-first company. In our last call, we shared an important milestone: achieving the revenue inflection point where our digital revenues surpassed our current. We made further progress on our digital revenue mix in the fourth quarter, reaching 51% of total revenue, representing a 7-point improvement over the prior year quarter. Our digital subscription business had an extremely strong year, growing revenue 41% on a same-store basis. These results prove once again we are the fastest-growing digital subscription revenue platform in local media. Our digital marketing services business, known as Amplify Digital Agency, grew 11% in the fiscal year and 21% in the quarter on a same-store basis, and it is approaching $100 million annually.
Kevin Mowbray: Lee continues to lead the industry. Our fourth-quarter results outpaced the industry in several key digital categories. We will also discuss later in the presentation how we are demonstrating digital leadership with our new strategic AI partnership. We renewed digital subscription revenue by 46% annually over the last three years, nearly doubling the nearest tier. In 2024, we successfully achieved our digital subscription unit target of 771,000 and laid a strong foundation on our path to 1.2 million digital-only subscribers by 2028. On the advertising side, the Amplify Digital Agency revenue growth has significantly outpaced our nearest competitor, growing an impressive 33% annually over the past three years. Industry-leading growth rates in these revenue streams driving our digital transformation have led to total digital revenue approaching $300 million for the fiscal year, which represents a 17% growth rate annually for the last three years. And now I will pass it over to Tim.
Tim Millage: Thanks, Kevin. We have a successful track record of effective cost management. In 2024, our business transformation effort yielded $82 million in cost savings. While we remain focused on operational excellence, driving margins in our legacy print business, and growing profit, our main priority is to drive long-term sustainable revenue growth. Therefore, we continue to invest in talent and advance technology like artificial intelligence to drive revenue and maintain our dominant local market position. Next, I will move to the balance sheet. As we have discussed in prior calls, we have a strong relationship with Berkshire. That relationship includes a favorable credit agreement with a 20-year runway, a fixed interest rate, and no financial performance covenant. These better-than-market terms allow us to stay laser-focused on executing our strategy. We also continue to identify opportunities to monetize our non-core assets, which facilitates debt repayment. We closed over $13 million of asset sales this year and have identified an additional $25 million of non-core assets to monetize.
Tim Millage: Monetization of these non-core assets will propel debt reduction. As was mentioned earlier, digital revenue now represents 51% of our total operating revenue. Digital revenue has grown more than 17% annually since inception, and that has translated to 13% annual growth in digital gross margin. Our digital margin is also impressive at 72%, meaning our digital business is highly profitable. Replacing our print revenue with growing and profitable digital revenue will help us achieve long-term sustainability, and we are nearing that point. We expect by 2026, the gross margin from our digital products will exceed the company's SG&A cost. The growth in our digital business is expected to continue as we are still scratching the surface of the addressable market for digital subscriptions and digital marketing services. As a reminder, Lee's three-pillar growth strategy is poised to achieve total digital revenue of more than $450 million in 2028. We expect this digital revenue growth will be fueled by Amplify Digital Agency growth, digital subscription growth, and new AI revenue opportunities.
Tim Millage: AI presents new and exciting monetization opportunities that we believe will help us achieve our long-term outlook for 2028. More to come on that in a bit. Looking more specifically to 2025, I would like to point everyone to our outlook for total digital revenue and adjusted EBITDA. We expect total digital revenue to grow in the range of 7% to 10% next year, and we expect adjusted EBITDA to grow in the low single digits. With that, I will turn it to Kevin to provide an update on recently announced AI partnerships. Through innovation, strategic partnerships, and relentless focus on growth, we are paving the way for Lee to lead the industry in this era of AI-driven transformation. We all know there is a tectonic shift in technology underway. Traditional search has seen a precipitous drop in the last nine months as consumers shift to AI-powered search engines. Gartner predicts Google's general search to drop by 25% over the next twelve months. This is not just a trend; it is a paradigm shift driven by the explosive growth and impact of AI-generated applications. Platforms like Perplexity, OpenAI, Quad, Gemini, and Microsoft Copilot are redefining the search experience by providing context-rich results and new summaries. This shift is not only about technology but also about user behavior, as consumers are opting for AI-powered tools when consuming news and information. Lee's role in this ecosystem is critical. We are at the forefront of creating global, trusted, and hyper-personalized content and advertising. The time to act is now. Legal battles, fair use lawsuits, are sometimes necessary, often time-consuming, very costly, and likely to get tied up in court for years to come. We are focused on strategies that position us as leaders and collaborators in this transformation. We are uniquely positioned to become the last-mile intermediary in the AI-driven content and advertising economy. We are the connective tissue between advertisers, subscribers, and local markets. Our trusted hyperlocal content and relationships are assets no algorithm can replicate. Our new AI partnerships will enable us to enhance ad creation dynamically and deliver hyper-targeted campaigns tailored to our local audience. We will monetize enhanced AI-driven content through paywall subscriptions, building loyalty rooted in our trusted brands and columns. We are ramping up and working on a winning playbook with our new AI partners, and the message is clear: partnerships between content providers and large language models are driving the next wave of innovation and revenue. This is reflected in the massive private investments illustrated off the chart. Our combination of trusted news and information, AI tools, and strategic partnerships will create a framework for sustainable, scalable economics in the evolving digital economy. We expect to generate early economics this fiscal year, remodeling revenue for these partnerships as they evolve over the next 24 months and beyond.
Kevin Mowbray: I would like to thank the team, especially Les Alder Linde, Chief Transformation and Commercial Officer, for the tireless work in getting us here today. Les has done a masterful job of getting these partnerships teed up and advancing our position not just as survivors of the digital shift but as leaders in shaping its future. Now I would like to turn the call over to Les to walk through in more detail the details around these recent announcements on our AI partnerships.
Les Alder Linde: Good morning. It is a pleasure to share the exciting news about Lee Enterprises' leadership, progress, and development in artificial intelligence. Lee Enterprises is fast becoming a pioneer in the artificial intelligence ecosystem by leveraging partnerships that allow Lee to drive user engagement, create new advertising opportunities, and deliver economic growth through the power and ethical use of advanced artificial intelligence. As AI rapidly shifts consumers away from traditional search and social media, Lee has recognized this market pivot. During the past four months, we have forged partnerships with leading AI platforms, culminating in agreements with Perplexity, ProRata AI, and Amazon Web Services. At this very early stage, these partnerships provide Lee access to powerful hyper-personalization and advanced advertising technology. More importantly, these partnerships expand Lee's core business by connecting our news content and advertising to the new far-reaching AI distribution channels. At the local level, these industry-leading first-to-market partnerships provide Lee with the necessary AI search and answer systems that capture market share from legacy web media companies and enrich Lee's local market position. Consequently, on December 4th, Lee took its first step towards extending Lee's content into AI distribution networks with the announcement of a partnership with Perplexity. Perplexity is the fastest-growing AI search engine with over 420 million searches per month and with astounding growth from $300 million to $9 billion in valuation based on the value of its distribution reach. The Lee and Perplexity agreement is founded upon robust ad-supported content payment models. On December 9th, Lee announced an agreement with ProRata, which specializes in content attribution and payment systems as well as the most advanced local AI search and answer engine. Lee and ProRata are highly aligned in our perspective on the consumer's need for community-focused local news and information. Consequently, the ProRata agreement enables Lee to use AI in our local markets and take advantage of the dismantling of traditional search through hyper-personalized content and advertising that will enable Lee to capture even greater market share. Finally, with a very exciting announcement to be formalized next week, we have an agreement with Amazon Web Services to support the technical demands for all of our AI partnerships, including access to state-of-the-art AI tools for generative AI-based advertising. At the heart of all three agreements is the recognition that Lee stands as the bridge in the last mile to the consumer's attention. Lee is the interface between the consumer and the world of AI content. Our competitive advantage is our expertise, reputation, and position in local markets. It gives Lee the ability to leverage AI through partnerships and deliver new value drivers for our shareholders. In the coming quarter, we expect additional AI partnership announcements, including co-development of products and new distribution channels. We look forward to next quarter and the opportunity to share more exciting news about Lee's future. With that, I will turn it back over to Kevin.
Kevin Mowbray: Thank you, Les. Through innovation, strategic partnerships, and relentless focus on growth, we are paving the way for Lee to lead the industry in this era of AI digital transformation. This concludes our remarks. Tim Millage may be on the line for any questions you may have. Operator, please open the line for questions.
Operator: Thank you. At this time, we will be conducting a question and answer session. As a reminder, if you are accessing this call by webcast, you may submit typed questions on your screen. Those questions will be answered during the call as time permits. One moment, please, while we poll for questions. Our first question comes from Daniel Harriman with Sidoti and Company. You may proceed.
Daniel Harriman: Thank you. Hey, guys. Good morning. Thanks for taking my question. Just kind of broadly here, and I realize you are still in the early innings of these partnerships with AI, but how should we look at future savings and significant investment by partnering up with leading AI technology companies? And then kind of along the same lines, again, realizing it is very early and these announcements have just come out, but should we expect any impact on these announcements, or for the time being, should we really assume the same that you have been saying recently? And then just finally, I know you reached your digital subscription target, but I did not see the exact number as of the fourth quarter. If I missed it, I am sorry. But if you could just let us know that, it would be helpful. Thanks a lot.
Tim Millage: Great. Thanks for the question, Daniel. Starting with your first one regarding the strategic partnerships and our digital investments, what I would say is these partnerships do not necessarily change our forward-looking level of investment but give us a lot of access to AI technology that we would not have had access to. Also, on your second question regarding our long-term target, these partnerships increase our confidence in achieving our long-term growth target. They provide us access to AI for commercial use as well as for operational purposes. They also provide us early economics into the AI ad model, which is anticipated to grow significantly as traditional search declines. All that said, it is early in this advertising model shift, but these partnerships do give us optimism in our overall results. I will turn it over to Les if you have anything else to add before I answer your last question.
Les Alder Linde: Yeah. I would add that these partnerships minimize our upfront costs by leveraging pay-per-use models and revenue-sharing agreements. This approach really lets us scale technology while keeping our spending tied to revenue growth and within budget constraints.
Tim Millage: And then your last question on the digital subscription, we are at 771,000. Appreciate the questions, Daniel.
Daniel Harriman: Okay. Thanks so much, guys. I appreciate it. Congrats on these recent announcements. That's fantastic.
Tim Millage: We will now take our first question from the web. The question is, is print revenue profitable on an operating basis?
Tim Millage: Yeah. It is a good question. I would point you to slide seven in our fourth-quarter earnings supplement that talks about the growth of our digital margin, and you can see the difference between our digital margin and overall margin is the result of the profitable print business. Clearly, it is on a declining trend due to secular trends, and we continue to manage that as best as we can. With that, we have no more questions. I will turn it to Kevin for any closing remarks.
Kevin Mowbray: Thank you for joining the call, and thank you for your interest in Lee. I really appreciate your time.
Operator: Thank you. At this time, we have reached the end of our question and answer session. This concludes our call.